Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Kodiak Gas Services First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen only mode. A question and answer session will follow the formal presentation. Please note this conference is being recorded. I will now turn the conference over to your host, Graham Sones, Vice President, Investor Relations for Kodiak Gas Services. Thank you. You may begin.
Graham Sones: Good morning and thank you for joining us for the Kodiak Gas Services conference call and webcast to review first quarter 2025 results. Participating from the company today are Mickey McKee, President and Chief Executive Officer and John Griggs, Executive Vice President and Chief Financial Officer. Following my remarks, Mickey and John will discuss our financial and operating results and review our updated 2025 guidance, and we'll open the call for Q and A. There will be a replay of today's call available via webcast and also by phone until May 22, 2025. Information on how to access the replay can be found on the Investors tab of our website at kodiakgas.com. Please note that information reported on this call speaks only as of today, May 8, 2025, and therefore, you are advised that such information may no longer be accurate as of the time of any replay listening or transcript reading. The comments made by management during this call may contain forward-looking statements within the meaning of United States federal securities laws. These forward-looking statements reflect the current views, beliefs and assumptions of Kodiak's management based on information currently available. Although we believe the expectations referenced in these forward-looking statements are reasonable, various risks, uncertainties and contingencies could cause the company's actual results, performance or achievements to differ materially from those expressed in the statements made by management, and management can give no assurance that such statements or expectations will prove to be correct. The comments today will also include certain non-GAAP financial measures. Details and reconciliations to the most comparable GAAP measures are included in yesterday's earnings release, which can be found on our website. And now I'd like to turn the call over to Kodiak's President and CEO, Mr. Mickey McKee. Mickey?
Mickey McKee: Thanks, Graham. And thank you all for joining us today. We begin all meetings at Kodiak with a safety moment. And I want to thank the women and men of Kodiak for their continued focus on serving our customers with a safety first mindset. Kodiak's dedication to returning all of our people home safely every night is truly a differentiator in the industry and something we take very seriously. Before discussing our outstanding first quarter financial results, our increased guidance for 2025, the increase to our quarterly dividend and our all-time low leverage level, I'd like to discuss a few macro topics that have been in the news lately. Given the recent volatility in oil prices, tariff uncertainty and concerns about a potential slowdown in economic growth, I thought I'd start by highlighting the strength and resiliency of our US focused large horsepower business model and why we remain bullish on the outlook for US natural gas growth and the associated demand for Kodiak's compression services. First, large horsepower compression is a critical component of the production, processing and transportation infrastructure of oil and natural gas. Our business isn't tied to commodity prices or rig counts. Compression is required to maintain ongoing production volumes and we're seeing producers and midstream companies add compression for increased volumes and enhanced throughput on systems where capital investments have already been made. As you know, Kodiak is the industry leader in contract compression in the Permian Basin, where gas to oil ratios have been steadily increasing. In 2024, Permian oil production grew by about 2%, while marketed natural gas production grew by 12%. In 2025, the EIA continues to project a meaningful increase in Permian natural gas production. And even if Permian Basin oil production just stays flat, natural gas volumes would continue to grow and require additional compression infrastructure build out. With additional takeaway capacity already in the works, the Permian Basin will continue to play an outsized role in US gas supply growth in the coming years. You may have seen our recent announcement of the groundbreaking on two new state of the art facilities to support our Permian operations. Second, our fixed revenue, multiyear term contract structures and premier customer base provide stable and predictable revenues and cash flows. In fact, almost 90% of our fleet currently has remaining term on its contracts, which is back to the high watermark we set prior to the CSI acquisition. Consolidation and capital discipline by our customers has resulted in healthier balance sheets and greater flexibility to endure short term commodity price fluctuations without significantly altering their long term plans. And we may see a greater preference to outsource compression should our customers seek to reduce capital spending while maintaining production. Contract compression fleets remain highly utilized with Kodiak leading the way at 97% fleet utilization including 99% utilization of our large horsepower equipment. And on top of that, we don't order any new equipment on speculation without contractual commitments from our customers. Finally, despite some near term fluctuations, we're strong believers in the long term growth outlook for US natural gas to meet LNG export and power demand. LNG exports are projected to double by the end of the decade from projects already under construction or post FID. And these plants are effectively fully contracted for worldwide distribution. Within its first 100 days, the Trump administration has approved two new LNG facilities. And it's been reported that LNG is playing an increased role in tariff negotiations as a way for our trading partners around the world to narrow trade imbalances, while securing reliable supplies of US natural gas to fuel their growing economies. On the power side, industry experts are forecasting 6 Bcf per day of demand increase by the end of the decade from new gas turbine generator capacity that has been ordered or will be ordered by the end of this year. The new power generation is needed to handle the massive energy needs of the build out of domestic data centers, many of which are already fully committed. Secretary of Energy, Chris Wright, recently likened the race for AI dominance to the Manhattan Project. And we're encouraged by the public and private resources being committed to ensure the US remains a leader. All of these factors give us confidence in our strategy and the increased full year 2025 guidance we gave in last night's earnings press release. John will cover our guidance in more detail. Now turning to our first quarter 2025 results. Kodiak set new records in total revenue, adjusted EBITDA, discretionary cash flow and a new all-time low leverage of 3.7 times in Q1 2025. This was driven by outstanding execution to recontract our fleet, cost management, operational efficiency, new unit growth and a seasonal increase in revenue in our Other Services segment. We bought back approximately $10 million in stock in Q1 2025 and recently announced a quarterly dividend of $0.45 per share, a 10% increase over the prior quarter. During the quarter, we added approximately 49,000 horsepower in new unit horsepower, while successfully redeploying some previously idle assets to working status and divested some non-core small horsepower, much of which was idle. This drove a sequential increase in fleet utilization and overall average horsepower per unit. Our core large horsepower assets remain effectively fully utilized, reflecting the continued strong demand for large horsepower compression. Now let's discuss our recontracting efforts. The first quarter is historically our busiest quarter for recontracting and in Q1 2025, we recontracted a significant amount of horsepower at market rates that are above our current fleet average. This helped drive a sequential increase in revenue and adjusted gross margin percentage in our Contract Services segment. Shifting to tariffs, like every other company in the US, we continue to analyze our supply chain to ensure that we can react swiftly to whatever path the administration takes. That said, the US oil and gas industry is largely domestic and the contract compression business is no different. We source all the main components of our compression units from US companies with facilities that are located in North America. We're monitoring the potential for price increases should tariffs remain in place on inputs like steel, which comprise about 30% of the value of a new package. Bear in mind that our contracts include inflationary adjustments that help offset these cost increases and we expect to see lower lube oil prices later in the year given the drop in crude oil reducing operating expense. Overall, we do not expect our OpEx or our CapEx to be impacted by tariffs by more than a low single digit percentage in any given year. That's consistent with historical inflation rates and reflected in our revised guidance. As a reminder, our 2025 new unit capital program is fully contracted, securing our margins and cash flow. We continue to have discussions with our customers about our 2026 program and have secured signed contracts in the second quarter, further demonstrating the ongoing strength of the compression industry. So to summarize, we're off to a great start in 2025. We've achieved tremendous success in our recontracting efforts and remain on pace with our new unit growth targets for the year. Our progress in these areas drove new company records in revenue, adjusted EBITDA and discretionary cash flow. We grew our large horsepower fleet and continued to increase our fleet utilization. And we returned over $46 million to shareholders in the first quarter through dividends and share repurchases, while generating free cash flow and reducing our leverage to its lowest level in history. Despite the recent uncertainty in the economic outlook, the fundamentals for natural gas compression remain extremely strong. The ramp up of natural gas demand remains highly visible and the industry continues to make long term commitments to support the growth. The increase in gas production is going to require significant compression infrastructure development and contract compression provides investors a great way to participate in the growth of US energy while staying insulated from the volatility of commodity price fluctuations. And now I'll pass the call to John Griggs to further discuss our financial results and our updated guidance for the year. John?
John Griggs: Thanks, Mickey. A lot's happened in the short time since our last call, but the teams remain focused on what we can control and delivered another quarter of outstanding financial performance. For the first quarter, total revenues were $330 million, up approximately 7% sequentially. We realized revenue growth in both of our segments. We saw a nice uptick in our contract services monthly dollar per revenue generating horsepower from $21.97 last quarter to $22.48 this quarter, a good indicator of the underlying strength of our core large horsepower market. Our contract services adjusted gross margin percentage increased to approximately 68%, up a full percentage point from last quarter and nearly 2% from the same quarter last year, reflecting the success we've realized in achieving higher average prices on our core fleet, reorganizing our operations to capture efficiencies and the financial impact of exiting lower margin assets and geographies late last year. During the first quarter, we continue to high grade the fleet. We divested more non-core units and we set 49,000 new unit horsepower that averaged 1,600 horsepower per unit, resulting in a Q1 ending average horsepower per working unit of 943, which is the highest in the industry. The horsepower per unit metric matters a lot because large horsepower compression is central to our strategy. It's what's being demanded most by our customers and it's stickier and generates meaningfully higher cash flows and margins than its small horsepower brethren. In our Other Services segment, we realized a sizable revenue increase from the seasonally slow Q4. Revenues for the first quarter were $40.7 million a 39% sequential increase. Revenues were supported by the completion of a large revamp of a gas storage project as well as several station construction projects. For the quarter, our adjusted gross margin for other services came in at 13.4%. Adjusted EBITDA for the quarter was just under $178 million up 5% from Q4 based on the higher revenues, the aforementioned sequential increase in contract services margin and a lower than expected increase in SG&A. The results were great, frankly better than even we were expecting. And though we attribute that to great execution by the team, we did have a handful of individually immaterial items in revenues, cost of goods sold and SG&A all seem to go away this quarter. And that when summed up, boosted adjusted EBITDA by about 1.5 million to the good. But even after factoring that in, we had another outstanding quarter. In terms of capital expenditures, we provided additional transparency this quarter by separating what we previously disclosed as growth CapEx into two buckets that we'll now refer to as growth capital expenditures and other capital expenditures. We broke out historical growth CapEx similarly and we'll continue to do so going forward. Let me take you through what's in each of these. Growth capital expenditures consist of CapEx that we expect will have a direct impact on revenues and margins. Things like new compression units, unit upgrades and the investments we're making in Industrial Artificial Intelligence. Other capital expenditures consist of capital items that are not directly tied to growing revenue, like facility upgrades, rolling stock, capitalized IT spending and some safety related items. There's no change to the categorization of maintenance CapEx, which captures spending that extends the useful life of our compression fleet. For the first quarter, growth capital expenditures were approximately $56 million consisting primarily of new unit CapEx associated with the 49,000 horsepower added during the quarter. Other capital expenditures were $22 million and consisted of some safety related items stemming from the CSI acquisition that we expect to be completed in July, capitalized costs for our new ERP system and other non-unit spending. Growth and other CapEx outflows in the quarter were partially offset by about $9.4 million in proceeds related to divestiture of 29,000 horsepower as well as the sale leaseback of field locations. Maintenance CapEx for the quarter came in at just over $16 million right on track with where we expected to be at this point of the year. With regard to the balance sheet, at quarter end, we had total debt of just over $2.6 billion comprised of the $750 million principal amount of our 2029 senior unsecured notes and the rest borrowings under our ABL facility. With regard to the ABL, at quarter end, we had fixed about 73% of our floating rate exposure, a level that's consistent with how we have approached interest rate hedging since our IPO. When you include the total of the senior notes plus the ABL, approximately 81% of our interest expense was fixed. As Mickey highlighted earlier, we exited the quarter at 3.7 times credit agreement leverage and remain on track to achieve our target of 3.5 times by the end of the year. All in all, despite economic and oil price uncertainty, we're quite comfortable with our balance sheet and our ability to weather capably through any potential storm. Let's turn to guidance. I'll remind everyone that our new compression units in 2025 are fully contracted, which combined with the contracted nature of our existing compression fleet leads to very stable and predictable cash flow. Based on the fleet pricing and operational efficiency we achieved in Q1 and our outlook for the balance of the year, we raised our Contract Services adjusted gross margin percentage to 66.5% to 68.5% and increased the midpoint of our adjusted EBITDA and discretionary cash flow guidance. For capital spending, our maintenance CapEx guidance remains unchanged, $75 million to $85 million As I mentioned earlier, we're separating what we previously guided for growth CapEx into two buckets, growth and other. For the year, we expect to spend between $180 million and $205 million on growth CapEx and we expect to set about 150,000 new horsepower. Other capital expenditures for the full year are estimated to be between $60 million and $65 million We expect other capital expenditures to be first half weighted in 2025 and to decline next year as some one-time items are completed, mainly the CSI fleet safety upgrades that we've highlighted previously as well as the launch of our new ERP system. I'll note that the sum of our growth and other capital expenditure guidance reflects a $10 million reduction to the high end of our previous growth capital guidance. So we're increasing the midpoint of our full year adjusted EBITDA guidance, while reducing our outlook for capital spending and living within cash flow. Wrap it up, we're off to a great start for the year. Kodiak's business model, US focused large horsepower contract compression related services remains highly resilient. As our historical financial results reflect, even during difficult industry cycles like what we experienced during COVID, the leadership team at Kodiak has been able to deliver on financial goals and objectives and to emerge sharper and stronger than before. We fully expect that to be the case going forward. Our value proposition for investors is simple- grow adjusted EBITDA, increase the dividend alongside that growth, reduce share count through repurchases and delever. We think that's a winning formula. With that, I'll hand it back to Mickey.
Mickey McKee: Thanks, John. We've had a great start to the year. Our recontracting efforts are ahead of schedule, and we continue to add new large horsepower units and divest non-core underutilized small horsepower units. These achievements helped us set new financial records in several key metrics, allowing us to once again expand margins and position us to continue to reward our shareholders for their investment in Kodiak. Our increased 2025 guidance reflects our outlook for continued strength in the contract compression market and the resilience of our business model. We remain excited about the opportunities in front of us and are prepared to navigate the ever changing environment to deliver even better things in the future. Thanks for your participation today. And now we're happy to open up the line for questions.
Operator: Our first question is from Doug Irwin with Citigroup. Please proceed with your question.
Doug Irwin: Guys. I'm trying to just start with one on 2025 before looking more long term. It's a pretty narrow guidance range at this point, which isn't all that unusual for you. Just wondering if you could maybe talk about some of the remaining unknowns for 2025 that might push results to one end of the range or the other and maybe how the current macro environment might influence some of these drivers, if at all?
Mickey McKee: Some of the things we're looking to through the year is just that recontracting strategy and our ability to recontract existing contracts to come up for renewals into the future here. And what's going to happen as far as expenses and that kind of thing go. We've built in some inflationary aspects to our guidance for tariff impact and that kind of thing. So we feel really good about the guidance where it's at. It's pretty narrow, but that's again, it's pretty highly visible business. I think that if you look into the future of what we've got this year, just some of the unknowns is just that recontracting and renewal strategy that we've got and our ability to execute on that.
Doug Irwin: Great. And then, Mickey, maybe just wanted to follow-up on one of your opening comments around potentially seeing a shift in demand towards more outsourced horsepower from customers in this environment. I guess just as far as the appetite for outsourcing versus insourcing goes, have you seen or do you maybe expect to see any differences between demand from midstream customers versus upstream customers who might be looking to cut costs more rapidly in this environment while still maintaining production?
Mickey McKee: Yes. I mean, think that it's only natural to think that in an environment like we're in today that some customers, be it producers or midstream companies are going to want to shift some CapEx to OpEx and would rather outsource probably than spend their precious capital on compression. So I wouldn't say that we've seen a drastic shift yet, but I think that that could come as people begin to execute on their 2026 budgets.
Operator: Our next question is from John Mackay with Goldman Sachs. Hey, guys.
John Mackay: I want to pick up on a couple of these things, but you guys have framed up kind of upper single digit growth outlook going forward next couple of years. Can you just kind of frame up for us kind of what kind of macro backdrop is assumed in there and if we're in a flatter oil price environment, how comfortable you are with that level?
Mickey McKee: I think it's still a pretty comfortable level to be at. As we said in the prepared comments, John, even in a flat oil environment in the mid $50 oil environment, we think that there's still going to be gas production growth out of the Permian Basin. And we still think that there's going to be a need as downhole pressures fall and that kind of thing and people are in kind of maintenance mode here. You're going to need to add compression to maintain production levels. So we feel really good about our growth targets and our ability to continue to execute some of the things that we've got going on with our AI development and technologies, our ability to continue to push margins up to help that EBITDA growth rate. And so we think that we feel really good about the future of the business here.
John Mackay: And in that context, you guys have mentioned the buybacks a couple of times. Just maybe frame up for us how you're thinking about using that, whether you're willing to be a little more aggressive and maybe how you balance that against the leverage target?
John Griggs: Yeah, thanks John. This is John too. So the big picture is we definitely are driving towards our leverage target of 3.5 times by the end of this year. We know we're going to get there. So that's got to be a governor in this whole discussion. You saw that we did repurchase some shares in the first quarter. We did that opportunistically underneath our board approved share buyback program. We think there's great value there. We think our stock kind of got to a level that made it attractive for us. We have the ability to continue to do that going forward. The other thing we have to bear in mind is EQT, which has been an active seller over the last several months or so. We anticipate no surprise to anybody on this call that they'll continue to be a seller going forward and we want to be there when they do that. So we would expect to support them whether you call it the first order or the last order in the book when they do that, but we'll also take advantage of any weakness in the share price because we're that confident in the future.
Operator: Next question comes from Connor Jensen with Raymond James.
Connor Jensen: Thanks for taking my call and really strong quarter here. Another strong quarter for compression margins. Obviously, the increase in prices has helped us a lot as you guys were saying, but what have you guys been doing on the cost side that have really helped those margins drive higher?
Mickey McKee: Yes, I mean, appreciate you being on today, Connor. One of the things that we're doing on the cost side is really implementing some of our machine learning and technology advancements through AI to implement some conditions based maintenances that are giving us the ability to extend our maintenance cycles a little bit based on data that we're getting from the machines kind of like I'll liken it to you go buy out and buy a new car today in 2025 and it'll tell you when the oil needs to be changed. You don't have to say, hey, I got to do it every 3,000 miles. So we're kind of implementing some stuff like that on the equipment and it's flowing through to our operating expenses and we're really excited about it.
John Griggs: I was going to jump into and say another big picture thing that we've done is reposition the fleet. Last year, at the end of the year, we exited the gas jack business in several of the international businesses and sold off some non-core horsepower. That has an impact on our ability kind of to continue to generate nice margins going forward. You saw the average horsepower per unit tick back up to 943. We called that out. That's a great metric that we kind of think about all the time because larger horsepower is more profitable for us as well too. And the third thing I'll say, it's a bit of a double edged sword as it relates to like near term margins and long term margins, but it's all the investments we make in our team. This is at its core, we're governed by a horsepower per field tech metric and we want to do more with the same. That's the technology that Mickey mentioned that we think will have a payoff in the years to come, but it's also all the investments we're making in training, attracting and training and developing and retaining our workforce. So all those are going to have a better impact on the bigger impact on margins going forward as well too.
Connor Jensen: Got it. That's helpful. Then I guess just quickly in that same vein, saw that the training center was opened in the press release. Just wondering how you think this will alleviate some of the problems in the labor market that a lot of the industry has seen in the Permian?
Mickey McKee: I mean, labor is the biggest challenge that we've got, especially in the Permian Basin. And so we think that the more we can do to bring along a workforce and the better trained they are, the more we can do to help make that training and development faster and accelerate that timeline, the better off we're going to be. So we're really leaning into that and focusing on the training and development of our people. And we're very serious about it. And we think that, that too will flow through to the margin and it will flow through to the overall success of the business.
Operator: Our next question comes from Sebastian Erskine with Redburn Atlantic.
Sebastian Erskine: Yes. Hi, good morning, guys. Thanks for taking my questions. Just the first one, I guess, in kind of the light of the current environment, how do you see leading edge kind of compression pricing evolving from here? And following up a bit on Doug's question, just how are your conversations differing between midstream and upstream customers kind of given the differing intensities of their operations? Any color would great.
Mickey McKee: As far as leading edge pricing, we are really not seeing much of a change in the shift right now. We're talking to our customers and that'll kind of get into the second part of your questions is different. The difference between the upstream and the midstream guys here, we're really not seeing a ton of difference yet in activity or anything like that pricing on the equipment. But you can tell that this customer base is keeping a keen eye on what's going on around us. So like I said, we've seen some customers dial back capital budgets in that 5% to 10% range. They're still planning on growth this year, albeit maybe a little more tempered growth, but continued growth and calculated growth throughout with these capital plans that they have are beginning to deploy this year and next.
Sebastian Erskine: And just on the Basin side, your business has grown up in the Permian. It's been a key differentiator for you. I mean, I guess in this potential weakness in some of the liquids rich basins and clearly the demand for US natural gas remains very robust driven by the LNG ramp up. Now how do you think about kind of potential redeployments of equipment to other basins? Or is that just not in the frame given the trend you mentioned in the prepared remarks on kind of gas to oil ratios and that kind of secular theme there?
Mickey McKee: Yes. I mean, we still really believe in the Permian Basin. We have the ability to shift to other basins if need be. We have a presence in every major basin in the United States, operationally and commercially. So if we need to make that shift, we absolutely can. But we like I said, we still really believe in the Permian Basin and what it is. So we think that there's a lot to happen there. And we believe that the outlook looks pretty good. We were joking yesterday that saying that the Permian might change to become a gas basin with associated oil.
Operator: Our next question comes from Jeremy Tonet with JPMorgan.
Unidentified Analyst: Hey, guys. This is Eli on for Jeremy. I know in the past, you've kind of talked about focusing on integrating the CSI acquisition and not kind of having an appetite for M&A. But if we were to see asset valuations come down a little bit, do you guys think there might be opportunities to take on some smaller bolt ons or go out and buy some other asset packages?
Mickey McKee: Yes, absolutely. We're certainly in the market for potential bolt ons and that we'd look at opportunistically right now and especially if some of our customers wanted to monetize some compression in different areas where it made sense to us. We think that'd be an interesting opportunity right now. So we have substantially completed the CSI acquisition. We feel good about where that's at in that integration. We feel good about where we're going to be over the next several multiple quarters with our ERP implementation and getting that behind us and that's going well. So certainly looking forward into the future additional M&A opportunities we're certainly going to be looking at all the time.
Operator: Our next question is from Derrick Whitfield with Texas Capital.
Derrick Whitfield: Historically, your contract compression model has been quite resilient in past down cycles. While you've touched on this in previous remarks, could you perhaps speak to how customer behavior has evolved in today's environment versus prior cycles?
Mickey McKee: Yes. I think we touched on it a little bit in the prepared remarks, right? The customer base today is a more consolidated customer base with better balance sheets and to me is really financially more prepared to weather the storm of a potential down cycle than they've ever been. That being said, it also from the other side, from the compression industry side, this industry has never been more highly utilized than it is today. There just isn't any excess equipment sitting around on anybody's shelf that needs to be deployed right now, especially in the large horsepower market. So we don't foresee anybody that will end up being a bad actor in the time of a potential softness in the market. So, think from the customer side and the supplier side here, both sides are in a better position to weather the storm quite frankly.
Derrick Whitfield: It makes sense. And with the potential for a more sustained slowdown in Permian activity, at what point does the industry broadly lose or start to lose some pricing power? And is there a difference between operators using compression for gas lift versus midstream?
Mickey McKee: Really no difference in operators using compression for gas lift versus midstream. Both are required to produce oil and both are necessary to maintain ongoing production. So both are just as integral as pieces of the infrastructure development. So that being said, I think that the ultimate issue that you'd face that would cause some pricing softness would be really a significant reduction in utilization amongst the players in the industry. And that's when kind of pricing gets softer because there's, like you said, some bad actors in there that try to kind of secure contracts at all costs and trade price for utilization. So like I said, I think that where the utilization rate is as an industry right now makes me feel really good about kind of where the industry is, how we're positioned to weather the storm going into this. And like I said, flat oil production in the Permian Basin means gas growth in the Permian Basin. So keep that in mind and also as pressures fall, you need more compression. So it's a little bit counterintuitive there.
John Griggs: Yes, was going chime in too and say, you've seen all of our public peers report utilization metrics and that's a combination of their entire fleet. But if you were to bifurcate the fleets into large horsepower and small horsepower, which we can say a lot, the large horsepower is probably 99% utilized. I mean there's literally not a single asset out there and that's what continues to be in high demand in the Permian. So we would think you've got a long ways to go, net debt one heck of a downturn to see the utilization get to the levels that Mickey just described before you'd see that kind of pricing weakness persist. And then I do want to say too, the silver lining in all of this is for the last couple of years, at every energy conference you or we would go to, the big discussion topic was always about OPEC overhang and what are they going to do and that caused investors to be reluctant to make big investments in energy. Well, they're doing and it's going to basically eliminate that overhang and that's going to set us up for a really nice up cycle in the future. So that's something that we're really excited about coming out of this downturn ready to basically continue to go on offense and be ready for this next up cycle.
Operator: Our next question is from Brian DiRubbio with Baird.
Brian DiRubbio: Good morning, just a couple of questions for you. First off on CapEx, there's been a clear bifurcation on those who have the capital flexibilities buying the CapEx and those who don't. Just are you seeing better availability of particularly on the packager side, the ability to get new equipment? Just love to get any sense of lead times for the new horsepower today.
Mickey McKee: We're really not seeing too much of a change of where it's been over the last year. Lead times are still a year out, kind of 45 to 50-week timeframe from Caterpillar depending on the size of the engines. You might be able to beat that lead time a little bit with some other engine providers. But at the end of the day, the shop space and capacity to build that equipment, package it into a compressor, fully functional compressor packages is also a bottleneck that we have today too. And that's that kind of shop space and that kind of thing is still a year out as well for the most part. So we're not seeing any softness in that supply side. It's still a really tight game out there and having to manage that supply chain piece pretty actively.
Brian DiRubbio : Well, I guess it helps the goldenated [ph] compression as I've been calling it. So no complaints there. Just a follow-up, we think about sort of the improvements you had on the contract compression side this quarter, any sense you can help us understand how much of that was organic pricing, how much of that was just mix shift within the fleet given that you're still managing through the CSI assets?
Mickey McKee: I mean, we've got about 1% or 2% kind of churn rate that we follow. And anytime some equipment comes back to us and we send it back out the door and recontract it, comes back and goes back out under a new contract right now, it kind of 15% to 20% premium contracts, right? Like so that churn is a good thing for us. We feel like we can turn it around and recontract it with another customer or potentially a new customer or an existing customer at rates that are closer to spot. But like I said, that's about a 1% to 2% churn rate that we see. And then obviously that new horsepower growth of that 49,000 horsepower that's going out at new spot pricing as well. And then we had a pretty active quarter early on in Q1 recontracting big bulk renewals that we had coming through the system and had a lot of success there, which kind of got that 10% to 15% kind of uplift in pricing along with those recontracts also. So it really is the mix of all of it and all of it is we're having the ability to lift pricing across the board and continue to do so.
Operator: Thanks. Ladies and gentlemen, we have reached the end of the question and answer session. And I would like to turn the call back to Mickey McKee for closing remarks.
Mickey McKee: Thank you, operator, and thanks to everyone participating in today's call. We look forward to speaking with you again after we report our results for the second quarter. Bye.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.